Operator: Good day ladies and gentlemen and welcome to the Bruker Corporation Quarterly Earnings Call. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call Mr. Bill Knight, Chief Financial Officer of Bruker Corporation.
Bill Knight: Good morning and welcome to the Bruker Corporation Fourth Quarter 2007 Financial Results Conference Call. With me on today’s call are Frank Laukien, President and CEO and Brian Monahan our Corporate Controller. During the call today we will discuss the combined financial results of Bruker Corporation as it has legally existed now only since February 26, 2008. These combined Bruker Financials, denoted with a capital ‘C’ in our earnings release which we issued earlier this morning, now include the financial results of the Bruker BioSpin Group which we acquired on February 26, 2008. These combined financial results will be compared in some cases to the historical stand alone financial results of Bruker BioSciences Corporation as it legally existed on December 31, 2007. We refer to these historical financials as our stand alone financial results, denoted with a capital ‘F’ in today’s earnings release. During the call today Frank will provide an overview of our combined financial results for the fourth quarter and full year 2007 as well as our financial goals for 2008. I’ll follow up with a more detailed discussion of our combined and stand alone financial results for 2007. Then we will open up the lines for any questions. Before getting started I would like to read our safe harbor statement. This discussion will include forward looking statements. These statements are based on current expectations but are subject to risks and uncertainties that could cause actual results to differ materially from those projected including but not limited to risks and uncertainties relating to the integration of businesses we have acquired or may acquire in the future, changing technologies, product development and market acceptance of our products. The cost and pricing of our products, manufacturing, competition, dependence on collaborative partners and key suppliers, capital spending and government funding policies, changes in governmental regulation, intellectual property rights, litigation, exposure to foreign currency fluctuations and other risk factors discussed from time to time in our filings with the Securities and Exchange Commission. We expressly disclaim any intent or obligation to update any forward looking statements other than as required by law. As required under US generally accepted accounting principles for US GAAP the acquisition of the Bruker BioSpin Group has been accounted for as an acquisition of businesses under common control. As a result all transaction costs have been and are being expensed in the period in which they are incurred rather than being added to good will. In addition, now that the acquisition has been completed all historical consolidated balance sheets, statements of operations, statements of cash flows and notes to the consolidated financial statements and future filings with the Securities and Exchange Commission are being restated by combining the historical consolidated financial statements of Bruker BioSciences Corporation with those of the Bruker BioSpin Group. However, for our 10-K for 2007 which we will be filing with the SEC later today we will still show the stand alone financials of Bruker BioSciences Corporation as it legally existed on December 31, 2007. A summary of the combined Bruker Corporation financial statements will be reported in a financial statement footnote in our fiscal year 2007 10-K filing. It should be noted that as required the combined balance sheet as of December 31, 2007, in todays 10-K is a pro-forma balance sheet and includes the $351 million of debt used to finance a portion of the acquisition even though this was not borrowed until February 26, 2008. In addition, we used $43 million of cash on hand to finance a portion of the acquisition when it was completed at the end of February. As a result, the pro-forma combined balance sheet balance in the 10-K has also been reduced by this amount. On the other hand the combined balance sheet included in our press release issued earlier today does not reflect the debt borrowed or cash on hand used to finance a portion of the acquisition. Instead, as the combined balance sheet that is required under US GAAP and which will appear on all future SEC filings after today 10-K filing. We apologize if this is a bit complicated but in each case we are fulfilling the exact accounting and SEC requirements. During this call we may refer to certain financial measures that are not in accordance with US GAAP such as a one time tax benefit associated with a recent corporate income tax law change in Germany. The charges incurred in 2007 associated with the acquisition of the Bruker BioSpin Group and the charges incurred in 2006 associated with our acquisition of Bruker Optik. Non-GAAP financial measures are not meant to be a better presentation or a substitute for results of operations prepared in accordance with US GAAP. We believe that discussing these measures helps investors to gain a better understanding of our core operating results and future prospects consistent with how management measures and forecasts the company’s performance. Especially when comparing such results to previous periods or forecasts. I’ll now turn the call over to our President and CEO, Frank Laukien.
Frank Laukien: Good morning everyone. We appreciate you joining our earnings call today. The combined financial results for Bruker Corporation in the fourth quarter and full year 2007 were very solid. For the full year 2007 we achieved rapid currency adjusted combined top line growth of 15%. Our adjusted combined operating margin which excludes acquisition charges expanded by 50 basis points and our adjusted combined net income again, excluding acquisition charges, grew by 31% compared to our combined 2006 results. Our combined net income in the fourth quarter of 2007 was $37 million or $0.22 per diluted share compared to net income of $35.6 million or $0.22 per diluted share in the fourth quarter 2006. Included in combined GAAP net income for the fourth quarter 2007 were after tax charges of $6.9 million or $0.04 per diluted share for expenses related to the acquisition of the Bruker BioSpin Group. Therefore, we had combined adjusted EPS of $0.26 per share in the fourth quarter of 2007 excluding the Bruker BioSpin Group acquisition charges. Combined net income for the full year 2007 was $97.2 million or $0.59 per diluted share compared to combined net income of $74.8 million or $0.47 per diluted share during 2006. Included in our combined GAAP net income for the full year 2007 were after tax charges of $7.4 million or $0.05 per diluted share for expenses related to the acquisition of the Bruker BioSpin Group. For comparison included in our combined GAAP net income during 2006 were after tax charges of $5 million or $0.03 per diluted share for expenses related to the acquisition of Bruker Optik which was completed on July 1, 2006. As you can see from our combined 2007 financials reported this morning the addition of the Bruker BioSpin Group to Bruker Corporation represents a significant step up in our combined financial performance level. We are very pleased that our broad based rapid growth in all four of our life science and analytical instruments product life forms has been able to combine Bruker to cross the billion dollar revenue threshold already in 2007. Moreover, we have reached new levels of profitability and cash flow with combined 2007 Bruker net income of $97 million and combined free cash flow of $102 million. Our combined 2007 GAAP earnings per share of $0.59 were nearly twice the previously reported stand alone 2007 EPS of $0.30 of Bruker BioSciences Corporation making the acquisition of the Bruker BioSpin Group almost 100% accretive in 2007. Our new combined Bruker Corporation includes an aggressive portfolio of products and solutions and offers additional opportunities to further strengthen our leadership position in high performance, scientific instrumentation. We believe that we are very well positioned to continue to serve our customers with innovative, high performance and high quality products and solutions. Most recently our product development teams received some much appreciated recognition at Pittcon 2008 Trade Show in New Orleans, where Bruker announced 21 new products. Our breakthrough benchtop SMART X2S Crystal-to-Structure small molecule x-ray system for the first time allows chemists without crystallography training to obtain routine small molecule three dimensional structures under full automation. This SMART X2S product won top place earning this years Pittcon editors Gold Award. This honor was followed by Bruker AXS also winning the Bronze Award with our completely novel and unique benchtop S2 PICOFOX TXRS which stands for Total Reflection X-Ray Florescent System for easy to use and robust ultra straight elemental analysis with very straight forward and cost effective sample preparation. This transportable S2 PICOFOX System is expected to compliment or replace Atomic Absorption and/or industry coupled plasma systems in many pharma, geological, mining, environmental and food testing applications. Moreover, the Pittcon Editors also gave an honorable mention to Bruker Daltonics new unique high performance apex-ultra MALDI-FTMS for drug and metabolized tissue imaging at therapeutic dosing levels. This apex-ultra is our top of the line FTMS for ultra high resolution analysis. As we have previously stated we believe that a combined single public Bruker Company will be beneficial to our customers and employees and partners and that it will also be very advantageous to all Bruker shareholders due to it’s significantly higher combined operating margin, net income margins, EPS and cash flows. We believe the drivers are in place and opportunities exist to continue the positive momentum from 2007 into 2008 and beyond. While we do not give financial guidance under the assumption that the overall market conditions we face will not deteriorate significantly our combined financial goal for the full year 2008 are: Our first goal is revenue growth greater than 8%, our second goal is an operating margin greater than 14%, excluding any expenses associated with the acquisition of the Bruker BioSpin Group. Concerning our operating margin please note that we expect to increase our growth margin in 2008 and that we also expect modest leverage in our sales and marketing expenses in 2008. Including acquisition integration costs, we expect our combined G&A and R&D expenses to increase slightly in 2008 as a percentage of revenue. Further out, in 2009 and 2010 we expect our gross margin to improve further and we also believe that we will see leveraging in all of our operating expenses the integration efforts required in 2008. Our medium term goal for 2010 is to reach an operating margin of 17%. Our third goal for 2008 is a net income margin greater than 9% excluding expenses associated with the acquisition of the Bruker BioSpin Group and note that in 2008 we expect significantly higher interest expenses due to the new $351 million in acquisition debt under our senior credit facility versus combined interest income in 2007. Moreover, for 2008 we expect to see somewhat higher effective tax rates than our combined 2007 effective tax rate due to significant interest expense in the United States and due to certain inter-company dividend withholding taxes that will be triggered as we move cash internally for debt repayment. Again, further out in 2009 and 2010 we expect our debt and interest expense to come down and we also expect gradually lower tax rates. For 2010 we have a medium term net income margin goal of 12%. Finally, our fourth goal for 2008 is to reach improved balance sheet metrics and operating cash flows. We want to remind everyone that the nature of our business can cause quarterly fluctuations and the addition of the Bruker BioSpin Group these fluctuations may increase because Bruker BioSpin sells certain big ticket items some with systems prices $5 million or more. Now here’s our CFO, Bill Knight again with a more in depth look at our combined financial results for 2007 and 2006.
Bill Knight: During the fourth quarter of 2007 combined revenues grew by 31% or by approximately 22% when we exclude foreign exchange tail winds. For the full year 2007 our combined revenues grew by 21% which included approximately 1% from acquisitions, 6% from foreign exchange tail winds and 14% organic growth. Combined fourth quarter 2007 revenue of $343.1 million was 87% higher than the stand alone fourth quarter 2006 revenue of $183.7 million as previously reported by Bruker BioSciences Corporation. Our combined gross profit margins were 45.5% for the full year 2007 versus 46.8% in 2006 in part due to the weak dollar as we manufacture a majority of our products in European countries. Although our combined gross margins were lower year over year our combined operating margin for the full year 2007 was 13.1% up 50 basis points from 12.6% in the year 2006 as a result of volume leverage across all our operating expenses. During the year 2007 on a combined basis we incurred $43.3 million of income tax expense on pre-tax income of $140.8 million, resulting in an effective tax rate of 30.8% compared to a combined effective tax rate of 33% in 2006. Our combined 2007 effective tax rate dropped primarily due to the revaluation of certain deferred tax assets and liabilities as a result of a corporate tax law change in Germany and acted in the third quarter of 2007. Combined net income for the full year 2007 was $97.2 million or $0.59 per diluted share compared to combined net income of $74.8 million or $0.47 per diluted share during the year 2006. Included in GAAP net income for the full year 2007 were after tax charges of $7.4 million or $0.05 per diluted share for expenses related to the acquisition of the Bruker BioSpin Group. For comparison included in combined GAAP net income during 2006 were after tax charges of $5 million or $0.03 per diluted share for expenses related to the acquisition of Bruker Optik which was completed on July 1, 2006. Combined 2007 net income of $97.2 million was 208% higher than the stand alone 2007 net income of $31.5 million as previously reported by Bruker BioSciences Corporation. Combined 2007 earnings per diluted share of $0.59 were 97% higher than the stand alone 2007 earnings per diluted share of $0.30 as previously reported by Bruker BioSciences Corporation. For the full year 2007 combined operating cash flow was $127.1 million compared to $82.8 million in the year 2006 combined free cash flow defined as operating cash flow less capital expenditures was $101.8 million during 2007 compared to $61.7 million during 2006. As of December 31, 2007, the combined Bruker Corporation had net cash of $290.4 million. With that we would like to open it up for questions and answers.
Operator: (Operator Instructions) Your first question comes from the line of Derik DeBruin of UBS.
Derik DeBruin – UBS: A couple of housekeeping questions, I was curious in terms of what the gross margin impact was from the US Dollar in 4Q07 for the combined company? How much did the strong Dollar hurt you?
Bill Knight: We don’t have a number that we want to give. I want to emphasize that we do produce most of our products in Europe. That strong Dollar does impact the costs that we incur in the US. We also sell in various parts of the world and parts of Asia with US Dollar based contracts so there is an impact with that strong Dollar.
Frank Laukien: We also have a lot of our expenses in Dollars and some more of our manufacturing in Dollars so we cannot exactly quantify it. Generally it hurts our gross margins but benefits our expenses.
Derik DeBruin – UBS: It doesn’t look like its going to get any stronger any time soon. The top line guidance of greater than 8% total sales growth, is that an all in number including the FX impact?
Bill Knight: Yes.
Frank Laukien: As recorded at current exchange rate.
Derik DeBruin – UBS: Would the implied step down from 14% organic growth in the combined company in 2007 to the 2008 number implies what’s going on with the core business? Is it more concerned at the end market?
Frank Laukien: Our goal for 2007 was revenue growth greater than 10%, we reached much higher than that. Our goal for 2008 is revenue growth greater than 8% due to general concerns about the economic situation. We are always happy to try to beat our own goals but this is what we are setting ourselves as goals this year.
Derik DeBruin – UBS: There’s usually an eliminations line that goes in with the revenue, what was it in 4Q in 2007 for the combined company and will this remain going forward?
Bill Knight: The elimination for revenue in the fourth quarter was a little over $12 million, $12.2 million.
Derik DeBruin – UBS: For the full year?
Bill Knight: Full year it was a little over $38 million, $38.5 million.
Derik DeBruin – UBS: Does that number stay the same going forward?
Bill Knight: Historically, probably a reasonable ballpark figure. There certainly can be fluctuations, it’s as good a number to you as anything.
Derik DeBruin – UBS: On current market conditions, I realize you just had your conference call, and saw you at Pittcon but do you see anything in the end market that makes you a little bit nervous in terms of any change in tone of your customers?
Frank Laukien: No, it’s really the front page of the Wall Street Journal that makes us a little bit cautious. We don’t really have March data and Q1 data as I also mentioned at Pittcon. Q4 was very strong for Q1 we don’t really have any meaningful data yet. So far we have not seen any significant deterioration of our markets but clearly one has to approach this year with more caution about general economic conditions than previous years.
Derik DeBruin – UBS: Obviously there will be the usual seasonal step down from 4Q to 1Q of revenues because of the strong year end finish.
Frank Laukien: That we always expect, that’s correct Q4 is always seasonally very high.
Operator: (Operator Instructions) There are no more questions at this time.
Frank Laukien: We’d like to thank everybody for joining us this morning and we look forward to speaking to you after our first quarter. Thank you and have a good day.
Operator: Thank you for your participation in today’s conference. This concludes the presentation you may now disconnect and have a great day.